Operator: Good afternoon, everyone and welcome to the EVERTEC's Fourth Quarter and Full Year 2015 Earnings Conference Call. Today's conference call is being recorded. At this time, I would like to turn the call over to Alan Cohen, Please go ahead.
Alan Cohen: Welcome to the EVERTEC's fourth quarter and full year 2015 earnings call. With me today are Mac Schuessler, our President and Chief Executive Officer; and Peter Smith, our Chief Financial Officer. A replay of this call will be available until Wednesday, February 24. Access information for the replay is listed in today’s financial release, which is available on our Website under the Investor Relations tab. As a reminder, this call may neither be recorded nor otherwise reproduced without EVERTEC’s prior written consent. For those listening to the replay, this call was held on February 17. Please note, there is a presentation that accompanies this conference call, and it is accessible in the IR section of our Website, as well as via the link provided in the press release earlier today. Before we begin, I would like to remind everyone that this call may contain forward-looking statement as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risks and uncertainties. EVERTEC cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the company’s most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from any forward-looking statements. During today's call, Management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as adjusted EBITDA, adjusted net income, and adjusted earnings per share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides. I will now hand over the call to Mac.
Mac Schuessler: Thank you, Alan, and good afternoon everyone. Thanks for joining us on today's call. We're pleased with our results for 2015 as we met our expectations in a challenging environment. I'll cover some of the year's highlights, provide you with an update on recent developments and close with some comments on 2016. Beginning on Slide 4 we have a summary of our 2015 results. Total revenue was almost $373 million, an increase of 3% compared to 2014, which was slightly ahead of our most recent guidance. We generated adjusted EBITDA of $185.6 million, an increase of 2%, and adjusted earnings per share of $0.68, an increase of 2%. We generated significant free cash flow and returned approximately $86 million to our shareholders this year through our $55 million stock buyback and $31 million in dividends. Additionally as we announced in the earnings release, the Board of Directors approved an increase and extension of the company's current stock repurchase program with a total of $120 million now available for our future use. I am pleased that we have the cash flow and capital flexibility to repurchase shares, pay dividends and pursue other business development opportunities. On Slide 5 is a summary of our 2015 accomplishments. Our focus in 2015 has been to transition the organization both from one that has operated like an IT department of a bank to professional, technology, and processing company. We continue to make good progress as we deliver on the promises made at the beginning of the year. First, we focused on executing well in Puerto Rico. Between the expansion of our relationship with FirstBank, our conversion of Doral Bank and the performance of our local payments business, I feel confident we've done well within this challenging environment. As the economy has worsened, our local service focus and long-term commitment to the island has distinguished us from our competition. Unfortunately, island residents continue to migrate to the U.S. and GDP continues to shrink. However, I am proud that we've been able to successfully grow through this headwind and is a testament to our business model, the cash electronic payment opportunity on the island and the valued services we deliver compared to our competitors. We committed to accelerate growth in Latin America and now have a leadership team in place with that focus. We have more work than we expected to bring our service delivery and account management to the level required for sustained growth. Additionally, although the Latin American markets we serve are also facing some financial challenges, I am confident that we'll announce meaningful wins as we progress throughout the year and execute the opportunity in front of us. We also said we focus on corporate development. I am pleased with the process that we established to assess those and we continue to make progress on filling the deal pipeline. We now have one deal pending regulatory approval and the pipeline is active. However, the process of transaction has taken time to close and I'll speak to this more in a moment. And finally I am proud of the culture we're building here within EVERTEC. As an example of our commitment to the community, in 2015 we awarded 31 local scholarships to top students of Puerto Rico. We successfully launched our first EVERTEC Volunteer Day with over 600 employees and family members contributing thousands of hours volunteering on weekends with local nonprofit organizations and environmental clean-up efforts across both Costa Rica and Puerto Rico. Within EVERTEC, we've recently expanded participation in our equity incentive program to additional leaders in the company. We're driving a culture of merit transparency awarding performance demonstrated through achievement. We believe that building an engaged workforce with a service culture will benefit EVERTEC and all the places where we do business. Now, let me turn to an update on our deal activities on Slide 7. As we discussed with you on our third quarter earnings call in November, we extended and expanded our business relationship with FirstBank for a term of 10 years. As part of this arrangement, we purchased FirstBank's merchant portfolio for approximately $10 million. We're proud that FirstBank selected us as our partner in a competitive selection process and the business delivered good results in the quarter. We will continue to look for opportunities to add value and further expand our services with FirstBank and others on the island. Next, I would like to update you on the status of the Processa transaction. As previously discussed, we entered into an agreement to buy 60% of Processa, a Columbian payment processing company. Toward the end of the fourth quarter, we announced that we extended the terms of this deal to March 31, because regulatory approval is still pending. As a reminder, because of the Bank Holding Company Act, we're still considered a subsidiary of Banco Popular for regulatory purposes. We continue to wait for regulatory approval and are confident EVERTEC has satisfied our obligations and that to our knowledge, there is no issue at EVERTEC that would prevent approval. We remain optimistic that the deal will be approved. Moving to Slide 8 on Latin America, regarding the fourth quarter we generated high single digit growth in Latin America. However, as we previously mentioned, we experienced some customer attrition from those who have previously informed us of their intention to leave. The LATAM leadership team is working to retain customers and is also actively building a pipeline of new prospectus. As I mentioned earlier, we expect to announce meaningful customer wins as we progress throughout the year. In 2016 we intend to focus on growing within the current footprint and will increase our technology investments should serve we have the best products where we compete. Once the pending transaction is complete we expect to leverage Processa to grow in the Columbian market. Outside of our current markets, our aim is to grow primarily through M&A. Now I would like to turn to discussion of Puerto Rico on Slide 9. In 2015 we experienced transaction growth of over 4%. We ended the year with government receivables down $3 million compared to the prior year. And although revolution to the Puerto Rico fiscal situation is still unclear, our January transactions remained strong at over 5%. As you may have noted in our recent 8K filing, the Department of Justice of Puerto Rico announced that is has initiated a formal investigation into whether EVERTEC has engaged in conduct that interferes with free competition within Puerto Rico. We have not been formally contacted by the Puerto Rican Department of Justice with regard to its investigation. I would like to provide some further background on the matter. In Puerto Rico the U.S. and elsewhere merchants have generally objected the payment per transaction fees, often alleging that these fees established by card networks, processors and financial institutions are excessive and in fact competitive. In the U.S. and therefore Puerto Rico the Durbin amendment significantly address the issue by regulating fees for certain debit card transactions and by requiring more than one network option on each card. These regulatory changes have lower fees for merchants substantially and vendors like EVERTEC compete for these transactions every day. As a requirement of the Durbin amendment the Federal Reserve periodically publishes debit network fees to show the rates that debit network charge merchants. In the last published fed report, EVERTEC’s ATH network ranked as one of the most economical networks for merchants. We also comply with the rules and regulations of Durban and assist our bank clients with compliance. As is the issue in many countries, whether it's an underground cash economy, merchants raise concerns and resist the increase of electronic payments that add transparency to their growth receipts for taxation purposes. In Puerto Rico, EVERTEC is the leader of electronic payment and is a provider of electronic payment solutions to the government is often referenced in these concerns. It is important to note that EVERTEC has responded to a similar type of Puerto Rico Department of Justice investigation or inquiry prior to Durbin and was successful in demonstrating the competitive environment within which we operate. Specifically in 2009, while EVERTEC was a subsidiary of Banco Popular, a similar investigation was initiated. The investigation concluded without any action taken by the Puerto Rican Department of Justice. We remain confident that we compete every day in this market and will fully cooperate in all respects with the investigation. As appropriate, we also see this process as an opportunity to engage in a constructive conversation of our healthy, progressive and competitive payments industry can provide clear benefits to consumers, businesses and the Government of Puerto Rico. Lastly as we begin 2016 with an improved organization, we plan to continue our focus on growing our business by delivering superior solutions and driving value for our clients. It will take some time to see our growth accelerate, but I’m confident in our future success. With that, I will now turn the call over to Peter.
Peter Smith: Thank you, Mac and good afternoon, everyone. I'll now provide a detailed review of our fourth quarter results and our full year performance and then provide our financial outlook for 2016. Turning to Slide 11, you will see the fourth quarter and full-year segment revenue details in the same for the total company. Total revenue for the fourth quarter of 2015 was $95.5 million, up 2% compared to $93.5 million in the prior year. Total revenue for 2015 was $372.9 million and up 3% year-over-year. With respect for the segment mix in the fourth quarter, merchant acquiring net revenue increased 12% year-over-year to $23.4 million, reflecting sales volume growth primarily driven by the addition of newly acquired First Bank Merchant Contract, which contributed approximately 10% growth. The overall sales volume increase we experienced was also driven by significant increases in tax payments where we worked with the Government of Puerto Rico to accept card payments and this growth was partially offset by lower volumes for gas and utilities driven by the ongoing year-over-year decline in oil prices. In terms of recent trends we note that in the quarter smaller merchants receive less payment volumes and large retailers grew payment volumes. This trend results mean lower net revenue mix for EVERTEC. For 2015 merchant acquiring grew 8% to $85.4 million and this represents approximately 23% of our total revenue. The growth during the year was primarily attributable to the continued payment migration from cash to card transactions in Puerto Rico and the factors I just referenced. Payment processing revenue in the fourth quarter was $27.7 million approximately flat with the prior year. Increases in our ATH debit network volume were offset by reduced revenue from contracts with Puerto Rico Government of approximately 3%. Additionally, approximately 1% pertaining to FirstBank payment processing revenue was terminated and replaced by the new merchant acquiring relationship. The reduced government revenue pertain to a payments related lottery program that was terminated in the quarter as a result of changes the Government is making to their tax collection programs. Transaction growth in Puerto Rico was resilient with payment transactions growing 5% year-over-year for the quarter modestly increasing from slightly lower growth we experienced in late August through October. This 5% transaction growth rate trend continued in January. For the full year, transactions grew 4% and the payment processing segment grew 3% to a $108.3 million, representing 29% of our total revenue. Payment transaction growth in the year was partially offset by the terminated government program I referenced. Business solutions Q4 revenue decreased 1% to $44.5 million, primarily reflecting the impact of the year-over-year $1 million decline in hardware sales. In the quarter, we continue to experience solid growth in our core banking business driven by new services and volume increases related to bank consolidation activity in Puerto Rico. This growth was partially offset by year-over-year decreases in our paper-based business. For the full year, business solutions grew 2% to $179.2 million reflecting the growth in our core banking services, partially offset by lower item processing and IT consulting service revenue, business solutions is approximately 48% of our total revenue. Moving on to the next slide, number 12, you'll find a reconciliation of our adjusted EBITDA for the fourth quarter and full year 2015. The adjustments to EBITDA in the fourth quarter of 2015 included our typical adjustments for share-based compensation, Popular merger related cost including transaction and other one-time fees and the elimination of non-cash equity method income. Adjusted EBITDA for the quarter was $46.8 million, a decrease of 2% from $47.5 million in the prior year. Adjusted EBITDA margin was 48.9% and represents a 190 basis point decline in our adjusted EBITDA margin compared to the prior year. Our Q4 adjusted EBITDA growth into our adjusted EBITDA margin percentage was impacted by certain items that I will review in more detail in the next slide. For 2015, adjusted EBITDA grew 2% to $185.6 million at a 49.8% margin, which is also down 90 basis points from 2014. Moving to Slide 13, you will see a year-over-year adjusted EBITDA margin bridge for Q4, which highlight certain items that affected our adjusted EBITDA margin in the fourth quarter. Starting from the last column the bridge begins with the adjusted EBITDA margin in the fourth quarter of 2014 of 50.9%. Moving to the right, we benefited approximately 30 basis points from the increase in revenue in favorable margin mix of merchant acquiring revenue in the fourth quarter of 2015 partially offset by the negative impact of changes in the government related programs. Second, we wrote off certain uncollected receivables in LATAM this quarter, which impacted us approximately 100 basis points. These write-offs primarily relate to receivables that were complicated by a system conversion over a year ago. We decided in the quarter not to pursue the receivables in the interest of account relationships and hence wrote them off. Third, we were impacted by the business-to-business tax and other operating taxes by approximately 70 basis points. Fourth, we continued our investment related to a card issuing product initiative and this reduced margins approximately 60 basis points. We anticipate this growth investment to continue through 2016 as we continue to enhance our platform to meet the market needs in specific LATAM countries, the combined impact that these items resulted in adjusted EBITDA margin of 48.9% for the fourth quarter of 2015. Moving to Slide 14, adjusted net income in the fourth quarter was $33.1 million, down 4% from $34.4 million in the prior year. The decline reflects lower operating earnings and an approximate $800,000 increase in cash taxes, which was partially offset by approximately $500,000 in neutral savings, driven by a lower outstanding debt balance and a reduced interest rate. Our effective tax in the fourth quarter was 3.5% and was primarily lower due to tax planning initiatives that we completed in Q4 that reduced non-Puerto Rico tax expense. Cash taxes in the quarter were $1.1 million compared to $300,000 in Q4 of 2014. The increase was due to the timing and increase of cash payments to taxing authorities from preexisting liabilities. The full year GAAP effective tax rate was 8.4%, which compares to 10.1% in 2014. The reduction in the rate is primarily attributable to the tax planning initiatives that I previously mentioned. Q4 adjusted net income per diluted share was $0.44 and flat to prior year. Full year 2015, adjusted net income was $129.9 million and was also approximately flat with last year. Adjusted diluted earnings per share for the year was $1.68, up 2% from $1.65 in 2014. Moving on to our cash flow overview for 2015 on Slide 15, net cash provided by operating activities was approximately $160 million, a 14% year-over-year increase, driven primarily by working capital improvements. Moving along the bridge, capital expenditures total approximately $45 million and include $10 million for the purchase of the FirstBank merchant portfolio contract. Year-to-date, the company has made $27 million in principal debt payments on our credit facilities. Additionally, there has been an approximate $6 million increase in restricted cash due to settlement timing. During the year we paid cash dividends to stockholders of $31 million and announced today another $0.10 dividends be paid on March 17, 2016, to shareholders of record as of February 29, 2016. In the quarter, we actively repurchased our stock and for the full year, we repurchased approximately $55 million of common stock. With today's announcement of an incremental $100 million authorization, we now have a total $120 million available for future use under the company's share repurchase program. Our ending cash balance at December 31, was $28.7 million down approximately $3 million from our 2014 yearend balance. In sum, cash flow has our focus and we're pleased with the improvement in 2015 and the significant funds we were able to return to shareholders. At this time, I would like to provide you with a general update on the status for government business and the receivables with the Puerto Rican Government. For 2015 revenue from the Puerto Rican Government represented 9.1% of our overall revenue and we view less than 10% of this revenue as discretionary. Further approximately 45% of the government revenue pertains to U.S. federally funded programs. We do not hold any direct credit of the government and as a Puerto Rican based company, we remain committed to delivering its central services to the government and citizens of Puerto Rico. Our receivable with the Puerto Rican government at December 31 was $18 million, which is down from approximately $21 million at the end of 2014 and up approximately $2 million from our ending Q3 balance. This receivable balance as of January 31 is relatively unchanged from December. Under the circumstances, we will continue to monitor our receivables diligently. Moving to Slide 16, we provide a summary of our debt. This slide reflects a quarter ending net debt position of approximately $646 million, comprised of the just mentioned $28.7 million of unrestricted cash and approximately $674 million of total short term borrowings and long-term debt. Our weighted average interest rate was 3.04% and our net debt to adjusted trailing 12 month adjusted EBITDA was slightly below 3.5 times. As of December 31, total liquidity, which is cash and available borrowing capacity under our revolver was approximately $112 million. Our debt has historically been 100% variable rate debt and in the fourth quarter was the first interest hike in years we decided to pick some portion of our debt. Specifically, we entered into a one-year forward interest rate swap on $200 million of our term loan B debt through its 2020 maturity or approximately 30% of our total credit facility. This forward swap will not impact our interest expense or earning in 2016, but will become effective in January 2017 commencing then with a fixed rate of approximately 4.4%. Moving to Slide 17, before I discuss our 2016 financial outlook, I would like to comment on some changes we have made to our calculation of adjusted net income and adjusted net income per share. Historically, we've deducted the cash taxes paid in the reporting period to drive adjusted net income. Going forward for 2016, we will calculate GAAP tax expense for purposes of adjusted net income, recording the GAAP tax expense applicable to pretax adjusted earnings. We believe this change provides a more accurate measure of our operating performance as the tax recorded is applicable to the income generated in the period. To assist you with the change and for an understanding of its impact, we provided a supplemental schedule in the earnings release, which has reconciled historical quarterly results for 2013 through 2015. Additionally, with respect to our projection of cash taxes, in 2016 we estimate a range of $8 million to $9 million and we have an available net operating loss balance at December 31, 2015 of approximately $22 million that we project will offset approximately $8 million of taxes over the next two to three years. Additionally, for this year we will now be providing guidance ranges on revenue and adjusted earnings per share, which is consistent with our peers in the industry. We expect revenue to be in the range of $373 million to $380 million, representing growth of 0% to 2%. Our adjusted diluted earnings per share guidance of $1.57 to $1.64 represents a range of negative 2% as compared to the adjusted diluted earnings per share in 2015 of $1.61. As we've discussed, we're operating in a challenging economy in Puerto Rico given the fiscal situation and our other Latin American markets are also experiencing macro challenges. We believe our revenue and overall guidance reflects these conditions. Now I'll add some further information with regards to our revenue assumptions. The revenue range includes the FirstBank transaction, which will deliver approximately two percentage points of revenue growth in 2016, but also assumes a possible decline in Puerto Rico volumes. Additionally the range reflects the anticipated attrition of LATAM clients that have notified us of their intent to terminate. We expect LATAM revenue growth to be flat to mid single digits depending on the timing of these migrations. Additionally, as we mentioned on our prior call, a significant portion of our business was re-priced pursuant to a contractual CPI decrease effective October 1. With respect to our segment revenue mix, we anticipate merchant acquiring net revenue growth to be mid single digits year-over-year, which includes the benefit from FirstBank for the first three quarters as well as some projected tail-off of volume growth as the year progresses. Our payment processing and business solutions businesses are anticipated to be similar to our fourth quarter revenue results depending on the timing of client migrations that I previously mentioned. Regarding margins, we've planned for incremental investment spending in Latin America and have planned investments to upgrade our information security and infrastructure all of which total approximately $2.5 million. Additionally in 2016, we no longer received an expense to offset approximately $1.5 million related to the… …and expense offset of approximately $1.5 million related to the maintenance, expense reimbursements provided for in the Popular merger agreement. We anticipate the 4% business-to-business tax that went into affect October 1, 2015, to be replaced by the VAT tax in April 2016 following the latest government communications and the current law. On a full year basis, we're assuming the net tax impact related to these items will be neutral. We've partially offset the impact of these expense increases with cost actions. All these items are considered in our guidance and combined we believe will generate EBITDA margins in a range of 48% to 49%. For further clarification, in our guidance we've included any estimates for the Processa transaction. The guidance does not reflect additional share repurchases. The ending share count as of 12/31/2015 is approximately 75 million shares. Our effective tax rate is anticipated to be between 8.5% to 10% and interest expense follows the latest consensus LIBOR projections. Our capital expenditures are expected to be in the range of $35 million to $40 million. In summary, we're operating in challenging markets right now, but we have a cash efficient business model that is supported by the macro underlying cash electronic payment migration while we cautiously monitor the resolution of the Puerto Rico fiscal situation we're pleased by our progress in 2015 and look forward to executing in 2016. We will now open the call for questions. Operator, please go ahead.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from George Mihalos of Cowen.
George Mihalos: Thanks for taking my questions guys. So just wanted to start off on the guidance, how we think of the first half versus the back half you mentioned some contracts coming off on the LATAM side. Should we expect revenue growth to be more weighted to the first half of the year relative to the back half?
Peter Smith: Hi George, it’s Peter Smith. We would look at the year on a balanced approach actually. We expect some of the fall-off to occur as we indicated that there are some other items on the front half that keep the balance.
George Mihalos: Okay. And then Mac you spoke encouragingly about the pipeline, can you elaborate on that? Obviously the new wins, new wins would not be in the guidance I would presume, but how long will it take to ramp in your estimation a new business win?
Mac Schuessler: Yes so hi George. Typically it's this industry, 9 months to 18 months because you have the sales process and then you actually have to convert them on to your platforms. What I would tell you as we've talked about previously, the focus by the end of this year of '15 and in the focus early '16 is really to rebuild the pipeline. We've got an active pipeline today and get some big wins and I don’t think it will have a big impact on '16, but I think it will have a good impact on the future growth of the business.
George Mihalos: Okay. And then just last question from me a housekeeping item, I think you mentioned LATAM grew about 8% in the fourth quarter. So back of the envelope Mac, does that imply that Puerto Rico in aggregate grew about a percent, is my math right there?
Mac Schuessler: That's correct.
George Mihalos: Okay. Thank you.
Mac Schuessler: Thanks George.
Operator: And the next question comes from Bob Napoli of William Blair.
Bob Napoli: Thank you. First I guess what would be -- you accepted the cadence of buybacks to be like you bought back, what about $54 million worth of stock this year. Does the $120 million that you have out there was more than 10% of the company? How would you anticipate executing on the buyback?
Peter Smith: Hi Bob, we look at the first -- we're pleased by the announcement and the authorization by the Board. As we look at buybacks, we just follow our capital allocation methodology where we were first looking for growth. And then to the extent we don’t have those investments available and we have extra cash, excess cash, we return it to shareholders. As we go through the year, that's how it's going to flow. We're going to follow that methodology consistently.
Bob Napoli: Okay. And then the VAT tax that’s coming into play is that a risk to the guidance here? You're assuming that the trade off with the business tax there is no net effect from those two, but isn’t that VAT tax risk that is going to compress consumer spending?
Peter Smith: The way we've looked at, you're correct in that we've isolated the B2B tax and its overlapped one quarter that basically neutralizes it. With respect to the VAT tax, there is some opportunities that we expect to offset, what you referenced, which is a potential outcome. Specifically as we're incurring the B2B tax now as it transitions to a VAT tax, we will be able to recover that through our remittances with the Government.
Bob Napoli: Okay. And then last question I guess on the Columbia, what is you strategy once you close that deal? How much revenue does it bring and what is -- do you have a -- what is the strategy to grow in that market?
Mac Schuessler: Sure, Bob, this is Mac. We can't really talk about revenues. It's a private company right now and it would be inappropriate at this point to disclose the revenues, but we will tell you is we were just in Bogota a couple of weeks ago visiting the Management Team there. As we talked about previously, they have a fantastic roster of clients including the other equity investor conference to -- we told you it’s the second largest in its space as far as a fund distribution company. The second is the largest retailer is also a customer. So the roster they have that customers need they're cross sell into those is part of the strategy. Secondly, the ability to do additional development for the entire enterprise out of Columbia because of the workforce they have and then the ability to leverage some of their products and services outside of Columbia. So we're incredibly excited about the investment and making them part of EVERTEC.
Bob Napoli: Okay. Thank you.
Mac Schuessler: Thanks Bob.
Operator: The next question will come from Jim Schneider of Goldman Sachs.
Jim Schneider: Good afternoon. Thanks for taking my question. I was wondering if you could maybe give us an update Mac on your strategic priorities, specifically the things that you’ve looked at outside of Colombia and you want to invest more in and then specifically, can you address anything where you -- the company is already been investing in, but you might look to pull back?
Mac Schuessler: Yes so let me talk a little back, there is a couple of pieces. From an M&A perspective we focus on different types of investments. One is where we can increase our footprint. So Columbia, clearly the Processa deal was an opportunity to expand outside of where we currently do business. The second would be defined new product capabilities and fortunately Processa offers that as well. And then finally, we look at investments where we can leverage our scale. So we would look at an opportunity in Puerto Rico if we were able to get a good multiple on it and we're able to do it -- process those types of transactions like the FirstBank deal using the scale and leverage that we have. We're very focused on investments right now from a technology perspective where we do business today. So Puerto Rico, Central America and the Caribbean and focusing on organic growth in those markets and as I said earlier, we’ll look at trying to increase our footprint through an M&A outside of where we do business today.
Jim Schneider: That’s helpful. You’re investing on things, you want to grow the business down and you don’t want to sacrifice those, but to the extent the macro environment were to worsen further are there -- what kind of leverage do you have to pull back on the cost control side? Are we pretty much tapped out on that or is there still more that can be done?
Mac Schuessler: Let me take the question and hand it to Peter so you can get his view. I would say we've been doing that as we go along today. We’ve been very effective at trying to cut cost where we can in Puerto Rico and as we invest in LATAM, make sure we’re very diligent about this. So as we progressed throughout the year and adding some of the incremental investments we’ve added even in '15 by adding a Latin American Management Team that's still making their numbers is something that we’re always conscious of. As far as levers going forward, I'll let Peter give his view.
Peter Smith: Yes as Mac alluded to, we’ve already taken some class action to offset some of the headwinds we’ve outlined here. Additionally, we have other projects underway that we’re working on that are longer in nature that we are focused on that should deliver more savings. So there are just not really going to add a lot into '16, but we look forward to completing those and reducing our cost structure accordingly.
Jim Schneider: Great, thank you.
Mac Schuessler: Thanks Jim.
Operator: And next we have a question from Vasu Govil of Morgan Stanley.
Vasu Govil: Hi, thanks for taking my question. I guess starting with Puerto Rico first, given that the macro conditions there are still in flux, I'm wondering if you can help us think about whether there's much buffer baked in guidance if consumer spending was to take another step-down in coming months?
Mac Schuessler: I'll let Peter take that.
Peter Smith: Yes, well what we've planned in our guidance is for a bit of a tail off in volume and what we're seeing is less spend per ticket and a bit of a mix shift in terms of transaction volume with smaller merchants to larger merchants. All those are incorporated into our outlook. So we planned for some of that and our view is that, that is cautious and out best estimate at this time I think anything step below that would be unexpected to us.
Mac Schuessler: That’s into the guidance.
Vasu Govil: Great. Thank you. And then just quickly, I know the last couple of quarters you talked about some legislative changes, which could potentially drive increased card acceptance in Puerto Rico. Have you started to see any benefit from that and is there a way to quantify what the benefit could be?
Mac Schuessler: Yeah, I think we've seen a couple of things. We have seen an increase in government payments and the government accepting payments. We're seeing legislations we've talked about earlier for certain types of merchants has to accept now more than just cash. So that is part of the upside that they were seeing in on business today but to Peter's point, we’ve also seen some weakening among the small merchant side.
Vasu Govil: Got it. Thanks very much.
Operator: The next question comes from Sara Gubins of Bank of America, Merrill Lynch.
Fatom Bagole: Hi, this is Fatom Bagole calling in for Sara Gubins. My first question is what are the incremental costs associated with managing the outage that occurred in early 1Q? Are there additional costs associated with updating systems?
Mac Schuessler: For everyone who is unaware, we had an outage on January the 9, that had about a two hour duration. I would say if you look at the January numbers and the transaction volume, it’s consistent with our expectations. So it doesn’t appear to impact in our volumes. As far as ongoing cost, I will let Peter address that.
Peter Smith: Yes they were relatively insignificant. We had some cost with respect to the press and so forth that we did and then we hired some consultants to help us investigate the outage and really those were the incremental costs that we incurred.
Mac Schuessler: And they're baked in the guidance?
Peter Smith: Correct.
Fatom Bagole: Got it. Got it. All right. And then my second question is can you give us guidance on revenue by segment? I believe you said mid single digit for Merchant Acquiring, but what were for the other two?
Peter Smith: What we referenced in the comments was potentially similar to Q4.
Fatom Bagole: Got it. Got it. All right. That's all I had. Thank you.
Operator: The next question comes from Tien-tsin Huang of JPMorgan.
Tien-tsin Huang: Great. Thanks. I was wondering, Mac, if the DOJ investigation has any potential impact on your pipeline and your ability to close deals?
Mac Schuessler: So what I would say is there is no indication of that today. We operate in a very competitive market. We’re still winning business and our view right now is that it has no impact on our ability to compete Puerto Rico.
Tien-tsin Huang: Okay, good. Just wanted to check. Then I guess the loss of the lottery business, is there a replacement product potentially there that you can compete for? Because I know that was something you had built specifically for that. So is that…
Mac Schuessler: So everybody on the call knows the Evalodo was actually every time a sales receipt was printed, there was a lottery number on it to ensure that consumers would ask for receipt and ensure the taxes were calculated and actually paid and remitted. The government now that it's moving to VAT system has decided they have new tax regimes. As part of the new VAT system, they're replacing some of these old legacy systems. We’re actively competing for that and we plan to be part of these new systems they are implementing, but we still have work to do to continue to win some of that business, but we're very actively working with the government.
Tien-tsin Huang: Okay. Got it. So that's still in the -- like you said, in the pipeline…
Mac Schuessler: Right.
Tien-tsin Huang: As a potential win. Okay. And just last one, just I think I feel like I always ask this question, so forgive me. Just in general around IT spending with Banco Popular and some of the other banks, take away the government cost quite a bit. How does the spend environment feel on the IT side with your larger bank clients?
Mac Schuessler: Yes, I would say this is a challenging environment for any company headquartered at Puerto Rico, but if you look back at the first bank transaction, I think what we realize on the island is more increasingly they're looking at EVERTEC as an opportunity to do business with us. So they're still investing, they still want to have the best products. They also have businesses in the U.S. that they're investing in. So we don't see what I would call a pull back. So there is still opportunity to do more with the banks at Puerto Rico.
Peter Smith: Yes, I'll just add that we continuously are engaged with Banco Popular and hence their core platforms and the rest of their infrastructure. So that has an ongoing focus I think probably for their efficiency as well.
Tien-tsin Huang: Okay. Great. No, that's helpful and the slides are helpful. Thank you.
Mac Schuessler: Okay. Thanks Tien-tsin.
Operator: And the next question comes from John Davis of Stifel.
John Davis: Hey, good afternoon, guys. Peter just a quick one, did you guys quantify the acquiring revenue from FirstBank in the fourth quarter?
Peter Smith: We referenced the percentage that it contributed, which was 10% out of the 12% growth. So you can kind of calculate.
John Davis: Okay. Perfect. Then if I can especially drill down a little bit on the transaction growth, assumptions embedded in -- embedded in 2016 guidance both in Puerto Rico and outside of Puerto Rico and maybe just help a little bit about the puts and takes there and what the underlying transaction growth assumptions are?
Peter Smith: Yes, well in Latin America, we're still experiencing double-digit growth on our existing clients and that is a indication that with respect to the business we have it's healthy and growing nicely. With respect to Puerto Rico as I referenced earlier, we've modeled in a bit of a decline in the volume as the year goes on as we expect the economy and sales tax and a few other impacts to impact our volumes more so on the payment volume side as compared to transactions, which generally will occur, but at a lower value.
John Davis: Okay. That's helpful. And then one for your Mac maybe how do you guys look at capital allocation given where the stock is trading? Does that influence buyback versus M&A or if there is M&A opportunity doesn’t matter how cheap the stock is, that's the first priority. Just want to get your thoughts there.
Mac Schuessler: Yes, I think it's a healthy balance and I'll Peter describe how he thinks about it, but M&A is important to the company and as we've talked about long term, it allows us to expand our footprint in a very effective manner because you don't have to create all the operating overhead and you can move more quickly in the market. So M&A is still something we're very focused on. However, we do have to balance that again sort of the current stock price, but we're focused on both, but M&A is still something we're very keen to do. We have a very healthy pipeline and we're looking forward to close the Processa transaction.
John Davis: Okay. That's helpful. And last one for me. The DOJ investigation, any chance that it jeopardizes any government contracts and the rules. Are there any big ones up for renewal we should be you aware of, just any thoughts there would be helpful.
Mac Schuessler: Yes, so at this point, we haven't been formally served with any type of documents or requests. So we don't know the full scope of the investigation. It primarily in some of the initial conversations that we've seen in the -- that we had discussions in the legislature has been focused on some of the payments business, not on our government contracts. I would say the government contracts that we have, we won competitively. We're one of the most mission critical vendors to the government and we have seen them pull back from those discussions. So my view is this probably will not impact them.
John Davis: Okay. Great. And then maybe one last one, sorry, on Processa, given the regulatory approval environment has been considered as subsidiary. Does that make the new strategic shift towards smaller deals, does that impact it where it's such a headache to get done, maybe you need to do bigger deals or how is this kind of elongated process had any impact on your thinking as far as M&A goes?
Mac Schuessler: Yes, so what I would say is again we're still optimistic that we'll close on Processa and we love the opportunity because although it is a small company, they have a great reputation in Columbia and we think we can accelerate the growth faster if we do this deal. We're still very focused on closing this transaction and are speculating on future deals. Like I said, we are actively talking to sellers and we still actively have a pipeline.
John Davis: Okay. Very helpful. Thanks guys.
Operator: [Operator Instructions] And our next question is a follow-up from Bob Napoli of William Blair.
Bob Napoli: Hi. Thank you. Just on the EBITDA margins, what are your thoughts longer term on the ability to expand those margins or are you expecting to be in investment mode for the next few years?
Peter Smith: Bob, the first thing I would like to mention is with respect to volumes as we bring them on, on our existing platforms, we should see increases in our margin. As we look into each market, we're really looking to invest based on return on invested capital and metrics around that given our capital and cash availability. We're very focused obviously on driving margins through some of the cost actions that I referenced and I believe as we look into our specific investments in these markets, we can better assess what the overall margin will be, but margin percentage itself isn’t going to direct those investments, can be the return on invested capital.
Bob Napoli: Okay. So you expect those margins to grow over time as you grow the business?
Peter Smith: As I mentioned, I think with respect to each investment in each market, it may be different, but with respect to our existing assets and platform to the extent we're bringing on volume, we would expect those margins to go up.
Bob Napoli: And then the de-conversions that you've had and have you had new customers that want to de-convert or are you, the issues that caused those de-conversions are behind you, do you have that under control and how much revenue are you losing from the clients that are de-converting.
Mac Schuessler: Yes, so Bob, this is Mac. What I would say is the losses are in the guidance that we're not providing more detail beyond that. We have a great team in place that I think is doing a good job of getting in front of customers, understanding we make sure we understand the issues, we're already resolving the issues, we're already seeing them impact into our customer satisfaction. So we believe we've gotten in front of the issue and we're working through it now. Additionally as I said they're working on new opportunities. So we think that we've got our arms around it at this point though.
Bob Napoli: Okay. And then the Evalodo, how much revenue was the Evalodo?
Peter Smith: We don't give specific information on contracts at that level. I'll just add that as we -- as Mac mentioned earlier, we're looking to offset the majority of it through some other opportunities that we're pursuing with the government.
Bob Napoli: But those are not in your guidance.
Peter Smith: No, they are, they are.
Bob Napoli: The new opportunities are in your guidance.
Peter Smith: Correct. Yes we're in active, active stages of those opportunities.
Bob Napoli: Great. Okay. Thank you very much.
Mac Schuessler: Thanks Bob.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Mac Schuessler for any closing remarks.
Mac Schuessler: I want to thank everybody again for joining us on today's call. I look forward to meeting and spending time with each of you this spring in some of the conferences and some of our meetings and again, have a great evening.
Operator: I am sorry, the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.